Operator: Good day, and welcome to the IAC Q3 2013 Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Jeff Kip, Chief Financial Officer. Please go ahead, sir.
Jeffrey W. Kip: Thanks, operator. Thanks, everyone, for joining us this afternoon for our third quarter 2013 earnings call. Greg is going to go first and give you the operational and strategic review by business, and then I'll walk you through the financial results and our outlook for the fourth quarter and 2014. And then we'll take your questions. Briefly, though, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our third quarter 2013 press release and our periodic reports filed with the SEC. We will also discuss certain non-GAAP measures. I refer you to our press release in the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Greg?
Grégory R. Blatt: Thanks, Jeff. Overall, it was a solid quarter. We had a strong accelerating performance at Match, solid year-on-year growth at Search & Applications and real progress in a number of our smaller businesses. By segment, first, Search & Applications. There was a lot of positive this quarter, but due to 2 unexpected developments, we fell short of our expectations. Last call, we told you we'd have continued sequential revenue growth in the Websites business, driven by continued strong performance at About and meaningful query growth. Both of these things happened, but implicit in our expectation was relatively constant pricing from Google, and that didn't happen. Instead, over the last part of the quarter, we saw a significant drop in CPCs, so we didn't see the sequential Websites growth we forecasted. On the Applications side, we said we'd take a step-back sequentially, though still have growth year-over-year, primarily as a result of some modest declines in our unit economics. We correctly predicted our unit economics but not an unrelated drop in distribution of some of our key B2B partners. So despite a very strong showing on our B2C business, we took a larger-than-expected step-back in Applications overall. Taking the pricing issue first, in Google's quest to accurately match pricing of an advertisement to the value delivered to the advertiser, it periodically adjusts its algorithms, taking into account all sorts of data about the way a given advertisement converts for an advertiser on different publishers, variations in value of conversions on a given publisher, the mix of traffic, et cetera. This particular change seems to have most negatively impacted publishers with concentrations of advertising in a disparate range of categories and with a user base with less disposable income than the average Internet audience, thus, the pronounced impact on our Websites business. Obviously, no one wants to take a big pricing hit or take it that suddenly. But one of the reasons we're with Google and not any of the alternatives is they've traditionally been the best at maintaining an efficient ecosystem for advertisers, and we've been really great at adapting to the changes they make. So put it in some perspective, adjusting for mix. Our CPCs on Ask are down meaningfully from their August highs but still nearly 2x what they were 2 years ago. And the volatility isn't new either. Over the last 3 years, we've had month-to-month CPC swings of greater than 10%, 11 different times; and greater than 15%, 5x, with roughly 1/3 of those swings in the negative direction. So modernization rates are always changing in this business, and over time, the combination of Google changes and our reactions to them have been extremely positive. Now, as we've done many times before, we're confident we'll grow the business from here. The rollout of this change ended in early October. And as we've rapidly adjusted our systems to new pricing model, we've already seen growth resuming from the bottom. Despite the CPC issue, the underlying properties in the Websites business performed well. Query growth at Ask has been great, as we expected, up over 30% year-over-year, with solid contributions domestically and really strong growth internationally. We see that trend continuing. About continues to perform well, and we expect that to continue, driven by our revamped content production and distribution effort. On the mobile side, page views increased 32% year-over-year to 35% of all page views. So we're seeing natural momentum there. So while the CPCs were a setback, we feel good about the outlook for the Websites business overall. On the Applications side, we had great performance on B2C. Our product portfolio is performing well, and we've got a strong pipeline. As importantly, the competitive landscape in B2C has tilted in our favor, and we're seeing increases in marketing opportunities and efficiencies we haven't seen before. Unfortunately, this strength was offset this quarter by a slowdown in the B2B side. Over the last month, we've seen a shift by a number of our competitors in this area to a mix of download practices and monetization techniques we don't employ. Domestically, this has eaten somewhat into our competitive advantage, putting pressure on the ability to certain of our partners to obtain projected distribution, despite the softness in some significant sources of our B2B revenue. The nature of some of these practices and sources give reason to believe this current dynamic is a bubble. If that's true, then when the bubble bursts, our competitive position will meaningfully improve, and growth will pop in this area. On the other hand, if these trends prove more lasting, the softness will continue, but then it means there are increased long-term modernization alternatives for the business, which will ultimately be to our benefit. As you may have seen, we recently signed a sponsored listings agreement with Yahoo! for some of our mobile products. They're actively competing for business in the Applications area, and having a variety of monetization alternatives is obviously good for us long-term. So what is the best quarter for this segment against expectations? With the downside drivers for discrete items and despite a wide variety of challenges faced by the segment this year, we'll still show solid revenue and profit growth, and we expect to do the same next year. This is a scrappy business with lots of independent initiatives across multiple fronts, with wins and losses every quarter. These factors make this business more difficult to predict near-term than certain others. This was just as true during '11 and '12 when we were underpredicting growth every quarter, as it is now that we've missed our near-term expectations on the negative side for the first time in years. Despite this potential for quarterly volatility, however, we have a proven ability to grow through changes in the dynamic landscape and real confidence in the outlook of the business. So looking ahead, we believe we can see double-digit growth over the next multi-year period. Turning to Match, we had a great third quarter. And to repeat what I've said now for 3 quarters running, the momentum continues to build, with solid increases in revenue growth, PMC growth and OIBA growth. We think Match is heading into 2014 with lots of strength, more than it's ever had, driven by strong core performance in the portfolio strategy we began putting in place almost 5 years ago. There are lots of ways to slice and dice this portfolio, but we think looking at it by paywall placement is a helpful construct. Our services are generally based on a premium business model. With our traditional products like Match and Meetic, users can complete profiles, search other profiles, get matches and indicate interest to other profiles, all for free. But in order to communicate back and forth, they have to pay. On our other products like OkCupid and Twoo, we allow some degree of communication before hitting the paywall. Looking at the traditional subscription products, there's clearly an audience which naturally gravitates to these services. For them, the availability of free alternatives doesn't meaningfully affect the decisions in this space. In fact, for many of them, a modest payment requirement indicates higher quality in a more affluent and more serious-minded community. They also respond to the trust factor that comes from our brand marketing. This audience continues to expand, driven primarily by a growing single population over the age of 30, category expansion driven by some of our newer products and evolving social perceptions, which are driven in part by our marketing. Additionally, we keep putting out a product our users want to pay for. This year alone, new user conversion to payers is up double digits at Match, driven -- Match.com, that is, driven primarily by improvements in the mobile product. These 2 factors give us a lot of confidence we can continue to grow subscribers in this business at or hopefully above, historical rates, which, when you look back over the last 6 years, has been approximately 10% annually. Let's now turn to the other bucket, the nontraditional products. The user growth here has been phenomenal, up 90% year-over-year to over 16.5 million monthly users. For some of these people, saving money is the prime attraction versus our traditional products, no question about it, but it's clear that many of these users aren't driven by price at all. They're drawn to the lighter sensibility of these products, which, in many cases, is driven by the placement of the payment wall. It reduces the perception barrier and allows them to feel in control of the payment decision, which is important to them. These users perceive their value to be equivalent or even greater than the traditional products, and they're willing to pay for that value, so long as the way we charge doesn't undermine their attraction to the product to begin with, as we're now demonstrating or increasingly finding successful ways to charge for these products, with conversion to payers up 75% year-over-year and total payers up 230% year-over-year. And we're only at the beginning of this, both in terms of the development and optimization of the feature sets and monetization strategies and in terms of the audiences we're exposing them to. For instance, we haven't even begun to apply a monetization strategy to Tinder yet. This is currently the fastest-growing of these products, with a lot of perceived value among its user base. So I think it's clear we're just scratching at the surface right now. Just to give you a sense of the opportunity here, call it fun with numbers, over the last year or so, we've close to doubled both the MAUs, monthly active users, and conversion rates for these products. If over the next 3 years we increase users and conversion by the same amount we have just over the last year, we'd be generating about $120 million of OIBA from these products in 2016. So even with a dramatic slowdown in growth, we get to a very big business. I'm not saying that's exactly what will happen, as we're still formulating our specific strategies for each product, but it's a pretty straightforward and, I think, fair way to think about the midterm opportunity here. What's so interesting about all these monetization experiments is what it's teaching us about dynamic pricing, or the ability to collect a lot of money from those willing to pay a lot, and a little or no money from those not willing to pay at all. For perspective, on one of these newer services, we've had someone pay us over $1,800 over the last 3 months. That's purely anecdotal, but it makes the point. Someone paid us $1,800 in 3 months on a so-called free site. On Match, the king of so-called paid sites, the most someone can pay us over 3 months is around $150 or less than 1/10 of that, even if they're willing to pay us more. And it turns out 80% of the people paying for non-subscription features on these services are also paying for base subscription product. In other words, the biggest indicator of who will pay for these dynamic features is the fact that they're already paying for subscription offering. So our work on the nontraditional sites has ironically led us to what we think is a big rate opportunity back at the traditional products. And over the next 2 years, we think we can move average rates there meaningfully, without having to increase base subscription pricing. The effect of this would be to increase the lifetime value of the subscriber, thus, increasing the amount we can spend on marketing, thus, increasing our PMC growth, as well as our profit growth. Yet another reason we feel so good about this part of the business going forward. So where does that leave us? When we take continued growth in the very large cash flow stream of our traditional products at or above historical levels, and layer on top of it, this entirely new piece of outsized growth in the nontraditional products, we see a totally different business than we've had, with accelerating revenue and OIBA growth rates and further expanding profit margins. For some perspective, and, again, I'll call it fun with numbers because some of these strategies are still being fleshed out, if you take the 2016 OIBA number for the nontraditional products I just referenced and then extrapolate out the traditional businesses at historical growth rates, you've got around $500 million of EBITDA in 2016, nearly doubling current year levels. Again, not a precise prediction but, certainly, we think, a very fair way to look at the opportunity over the next 3 years. We love this business, it's clearly the crown jewel asset and it's really hitting its stride. In addition to Match and Search & Applications, we've got a bunch of other businesses we don't talk about as much. We expect them to do over $600 million of revenue this year. When you eliminate CityGrid and Newsweek, which were in last year and not all of this year, that's over 20% growth. I wanted to take this opportunity to call out specifically the 3 subscription businesses in this group, all of which we're very excited about. First is Vimeo, one of the premiere video sites on the web. It's got over 100 million uniques, up over 30% year-over-year. And mobile uniques have more than doubled since the beginning of the year, now over 40% of all users. But unlike most other video sites in the web, its primary business model to date has been subscriptions for people uploading their videos. We just crossed the 400,000 subscriber level, with trailing 12-month revenue up 60% year-over-year to approximately $37 million, driven by a combination of sub growth and revenue per sub increases. Given the deferred revenue recognition dynamics of fast-growing sub business, actual revenue doesn't reflect true scale. We're confident there's continued meaningful growth here, as our growth to date has come despite the fact that we've yet to bring the same focus on marketing, conversion and other customer acquisition efforts that mark our larger sub businesses. Now we're starting to bring that focus, and we feel really good about the future here. But there's also another side to Vimeo, one we haven't tapped into yet. Vimeo is now consistently a top 10 online video content network, larger than major digital video programmers like Amazon, Hulu, Microsoft, and approaching Yahoo! But unlike these other sites, our monetization focus has been almost exclusively on monetizing the uploading of videos, not the viewing of videos. In that process, though, we've created a huge viewing audience, and we're now turning our attention to it. Our strategy here is to first go after direct monetization in this area, as we begin to curate and promote our content for the first time, and optimize the viewing experience around the pay-per-view tools we're empowering our creators with. Advertising will be there, too, but will play a smaller or larger role down the road, depending on the success of this direct strategy. In either event, we're going to monetize these 100 million and growing video uniques over the next couple of years. When you combine both sides of the business, the huge viewing audience and the growing uploaders willing to pay for premium service, it's a truly unique property. In the hotspot of the web, we know it already has considerable value, and we're looking forward to growing this business substantially. Additionally, we've got 2 smaller businesses, Tutor.com and DailyBurn. I won't go into them in great detail here, but suffice it to say that we think by the end of 2014, Tutor, which is now run by, really, 3 of the senior executives who used to run Match.com, former CEO, Head of Product and Chief Technology Officer, is really developing a product that is going to change this industry. We bought it, it was a enterprise product basically being sold to institutions. By the end of 2014, we think it's going to be a fast-growing and very high-value consumer product. DailyBurn is a fitness product, streaming. It's got real momentum. We think we're going to add lots and lots of subs in 2014. We think it's really ideally primed. With the adoption of streaming content, smart televisions, we think it's the right product at the right time, and we think 2014 is going to be a very big year for it. Collectively for these 3 businesses, we expect to add approximately 200,000 subs by the end of 2014. When you add that to our expected rebound from a difficult year at HomeAdvisor, Electus's [ph] increasingly widespread production efforts, which increased the potential for that breakout hit, and the other irons we have in the fire, we think we've got a tremendous amount of unrealized value in this group. So overall, we feel great about the portfolio. Our plan is to continue to grow these businesses and look for new opportunities in our key areas of expertise, and we're confident we'll continue to create and realize real shareholder value. With that, I'll turn it back to Jeff for a deeper dive into the numbers.
Jeffrey W. Kip: Thanks, Greg. Starting our financial review with Search & Applications. Third quarter segment revenue was up 10% versus the prior year, 2.9% pro forma for About on 17% query growth. OIBA growth for the segment accelerated to 36.8%, 19.4% pro forma for About. Websites revenues, excluding About and CityGrid Media, were essentially flat sequentially and down year-over-year, driven by the CPC declines in the last 5 to 6 weeks of the quarter, as Greg discussed. Query growth, however, was very strong, up 11% sequentially and 32% year-over-year, driven by international query increases. Revenue for the Applications business, as expected, was down sequentially, although more than previously anticipated because our B2B partner revenue came in below expectations, driven largely by the competitive factors Greg described. The B2C business, on the other hand, performed well, with solid year-over-year growth, driven in part by expanded marketing opportunities in the quarter. For the fourth quarter, we expect total segment revenue to decline mid-single digits sequentially. Websites revenue will be down sequentially low- to mid-double digits as the third quarter CPC changes roll through for a full quarter. Applications revenue will likely be up sequentially in the fourth quarter, as year-over-year growth at B2C offsets the previously discussed issues at B2B. Fourth quarter OIBA margin will drop sequentially to its lowest levels of the year, given the full quarter of reduced CPCs. Thus, for full year 2013 for the Search & Applications segment on an as-reported basis, we now expect roughly double-digit revenue growth, with margin leverage yielding solid to strong double-digit OIBA growth. Looking ahead to 2014, we expect revenue and OIBA growth in the mid-single to low double-digit range for the segment as a whole. The Websites businesses will likely start in the first quarter flat-to-down sequentially from the fourth quarter, on seasonality, but then build sequentially from there on the strength of international query growth, About, and the reoptimization of our marketing systems. We expect Applications to continue to build sequentially from the fourth quarter through 2014 on the strength of the B2C business. Overall segment margin for the year will likely be flattish the second half of 2013. Moving on to Match. Revenue and OIBA growth for the third quarter accelerated to 13% and 14%, respectively, on strong year-over-year paid member account growth, which accelerated nearly 300 basis points to 17.4%. For the fourth quarter, we expect revenue growth to continue at or around its current pace, OIBA growth to accelerate significantly and PMC to increase -- PMC growth to increase yet again as well. This means that Match will finish 2013 with overall low double-digit revenue growth and strong double-digit OIBA and PMC growth. We further expect both revenue and OIBA growth rates to increase from 2013 to 2014, with revenue growth in the mid-teens and OIBA growth meaningfully better than that next year. The Local, Media and Other segments combined had $149 million of revenue in the quarter, below the prior year total of $166 million, because, first, we restructured and moved CityGrid Media to Search & Applications this quarter, and secondly, we shut down Newsweek print last December and then sold Newsweek digital this quarter. The 3 segments together earned $2.6 million of OIBA in the third quarter. However, there were approximately $14 million of gains included in OIBA, net of related charges from the asset sales of Newsweek, which netted about $6 million, and Rezbook, which had a gain of approximately $8 million. We expect fourth quarter revenue to come in at a level similar to the third quarter and fourth quarter OIBA loss, to be in the $8 million to $10 million range. For full year 2013, we're now expecting a low $20s million OIBA loss on approximately $630 million in revenue for all 3 segments combined. As a side note, the net $14 million of gains in Local and Media obviously drove up our third quarter consolidated OIBA. But it's worth noting that the full year also includes the restructuring and impairment charges taken in the second quarter, as well as several smaller acquisition-related charges. So that these onetime items are effectively a wash within the full year OIBA numbers. We're still going through our planning process for the Local, Media and Other businesses for 2014. And our investment can move up or down during the year, based on shifts in business trajectory and opportunity, but we're confident that we'll continue to grow aggregate revenue solid double-digits across these segments, led by materially higher growth at Vimeo. With aggregate losses currently expected to be modestly below this year's level, as we continue to invest in our higher growth assets. With that, we'll open it up to your questions.
Operator: [Operator Instructions] We'll take our first question from Ross Sandler, Deutsche Bank.
Ross Sandler - Deutsche Bank AG, Research Division: Greg, just 2 questions. First is on the buyback. You guys typically are restricted from buying back stock historically in periods where there's some kind of corporate activity going on, whether it be with Liberty or Google renegotiation or something else. Was that the case in 3Q? Can we get an update on what's going on with the buyback strategy? And then last question, Greg. The -- there's been a few combinations out there in the Applications space. Would you ever consider selling the Search business if some other interested party were to come along and look to aggregate more of these types of assets?
Grégory R. Blatt: Sure. I think on the buybacks, I think over the last 19 quarters, I think there were only 2. And I just looked, coming into the call, back to '09, so I'm not sure what we did before then. But over the last 19 quarters, I think we bought back stock in every quarter but 2, including this one. There's no -- this last quarter does not mark any change in our capital strategy or anything else. We've said before, there are a number of reasons why we may not buy back stock in a quarter, potential transactions, legal restrictions, marketing opportunities. We're not going to be specific about what they were. But suffice to say that our general approach hasn't changed. We've spent almost $3 billion buying back over -- almost 100 million shares over the last 3 years, and nothing changes about that. I can't go to the specifics of this quarter, but I don't think you can read anything into it beyond just that we didn't do it this quarter. Nothing has changed. In terms of openness to consolidation in the Search industry, look, I think -- we're IAC, we're always open to anything. We're not actively looking to do that. We evaluate every opportunity that comes along. And to the extent there was something that was very attractive, obviously, we'd consider it seriously, but we're not involved in an active process right now looking to do that.
Operator: And we'll take our next question from John Blackledge with Cowen and Company.
John R. Blackledge - Cowen and Company, LLC, Research Division: Two questions. Can you just give an example of some of the factors that hurt the B2B apps segment this quarter and how long these practices could impact the segment, obviously, into the fourth quarter and potentially into 2014? And then could you just expand a little bit more on the potential $120 million in EBITDA in the Other segment within Personals, how you build towards that? And just how much of Tinder does IAC own?
Grégory R. Blatt: Sure. Let's see. On the B2B side stuff, I would say it's a complicated mix on Applications. There's monetization. There's also download practices. There are a series of screens you go through, series of practices. There's no one monolithic approach out there. But let's just say that there are plenty of people out there taking download approaches that are far more permissive than we do, with a different set of disclosures and different other things. And we're not doing those things, and that sort of helps monetization. And then there are people who are employing a variety of sort of ad products and other products that we don't offer, for a number of reasons, to our partners and it's theoretically possible in the future that we could. Right now, we've made a decision not to. The outlook that Jeff gave assumes that this situation does not change. So to the extent that the pendulum swings back and these practices become disfavored, that will be a net pop in our numbers next year. As for predicting sort of the length, I think we've already seen there were some news, I think, last week about -- I think it was Babylon and some issues that they were getting into with one of their partners relating to some of these practices. So we're certainly not going to predict what's going to happen, but we think there is a reasonable possibility that this situation won't last indefinitely. The question on the development businesses, yes, I mean, the math was pretty simple. We basically looked at our growth in users over the last year and our growth in converting those users to payers over the last year and then basically assumed, if we can do the exact same thing that we did over the last year over the next 3 years, holding pricing constant and a whole bunch of other things, you get to that $120 million. And we think that's -- again, I don't want to predict it precisely, but we think that's a reasonable way to think about it. And we think that sort of $500 million that we put out in sort of 2016 overall is sort of a reasonable way to think about sort of the growth as we it over the next few years. In terms of Tinder, there was a small minority investment, well under 20%, and we own the rest. Management has an equity incentive plan that is significant. And, obviously, if it creates significant value, management will benefit meaningfully from it but not terribly different than we have with other of our small startup businesses. So we control it. For all practical purposes, we own it, with the small minority investment coming out of the incubator that it launched in. And, again, that business -- going back to the $120 million, that business, currently, we have no monetization on. So to the extent we launch monetization, that is a big lift, obviously, in some of the numbers that we included to get there. So we think there's a lot of different ways to generate meaningful value from these nontraditional businesses over the next few years. And the trajectory to date has been really amazing, both on the user growth side and on the increasing ability to find people here who really, really want to pay for these services and sort of the various sort of enhancements that we can offer on them. So we're really, really excited about the additional growth this gives to the Match business.
Operator: And we'll take our next question from Peter Stabler from Wells Fargo.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Greg, could you give us a little bit more color on the B2C Application business? You mentioned it was strong. Wondering if you could comment on whether that included any kind of new monetization strength from mobile apps you developed. Secondly, you mentioned the softness on CPC. Wondering if the query growth came in where you expected. And then a last wildcard here, any thoughts on the domain deregulation and the expansion of gTLD and whether that will impact query growth next year?
Grégory R. Blatt: On the B2C side, it's really -- it's a lot more of the same. We continue to turn out really good product and products that, using our Search engine, we're able to sort of identify sort of areas where we think there's a lot of distribution opportunity, and that continues to be very strong. In addition, sort of the flip side of -- flip side of sort of the monetization, the competitive challenges on the B2B side is that most of the software partners using those sort of practices aren't able to get distribution through the same channels that we are on B2C because those distribution channels don't allow those practices. So in essence, there is a -- while there's been some pressure on the B2B side, the countervailing force there is expanded distribution opportunities on the B2C side. This quarter, they didn't balance out, meaning the strength in B2B was -- the strength in B2C wasn't enough to offset the softness in B2B, but we think that will probably change over the next few quarters. What was -- there was a [indiscernible].
Peter Stabler - Wells Fargo Securities, LLC, Research Division: I was wondering, did queries come in where you thought they would?
Grégory R. Blatt: Yes. I think queries generally came in where we thought they would. We were predicting strong growth. I think due to the CPC changes, we actually had to pull back some marketing. So they frankly would have been even higher. We were on pace to do even better than we had expected. But when the CPC dropped beginning at the end of August, we had to pull back on some of our marketing there because it becomes profit-negative. And so that actually led to decline in queries, but the net of all that was about where we expected it.
Jeffrey W. Kip: So that being said, we're expecting year-over-year query growth to accelerate in the fourth quarter.
Peter Stabler - Wells Fargo Securities, LLC, Research Division: Driven by international?
Jeffrey W. Kip: Driven by international. And we've got easier compares. The fourth quarter was a little light last year.
Grégory R. Blatt: On the domain deregulation, it's too early to tell, but we don't expect there to be any major effect. We'll watch it, we're watching it in a number of places. But our judgment here is that we're not going to see any real impact from it.
Operator: And we'll take our next question from Jason Helfstein with Oppenheimer.
Jason S. Helfstein - Oppenheimer & Co. Inc., Research Division: Just to dig in more on the Applications side, though. Given what seems like is probably a temporary issue in the Application business, as you alluded to, I think Yahoo! actually turned off Babylon as a result of those practices. And the market has this as kind of a series of issues, right, that have been discussed in the last few quarters around this business. Would you consider taking advantage of weakness in the stock and potentially being -- leveraging up to buy back stock? That's my question one. And then as you think about some of the emerging businesses, Tinder, Aereo, it would seem that other participants might be willing to pay more. I mean, with Aereo, potentially, there might be an opportunity to sell this to the broadcast industry. Just talk about your desire to recognize that value for shareholders in the environment right now where acquisition multiples seem to be going up for growth assets, both in the public and the private market.
Grégory R. Blatt: Sure. I think in terms of the buyback question, look, we're heavy buyers of our stock, and we've been buying -- this quarter aside, we've leveraged up, I don't know. We took out $500 million of debt. Before, we've been buying back stock. I don't know if that's leveraging up to buy back stock or it's just raising capital. I think that -- when we think about buybacks, we don't think about ourselves as being capital-constrained. So I think that we will have the capital to buy back stock going into the future. In terms of realizing value, look, IAC -- I mean, if you go back 7 or 8 years, there was one company called IAC. Today, that's 8 public companies. So IAC has certainly sort of shown its willingness to realize shareholder value through spinoffs, through sales in certain instances, et cetera. I think the question is about sort of the when and the why. If you look at something like Aereo, we're a minority investor in Aereo. It's very early. I don't see us looking to capitalize on that asset today. We're at the beginning of that, and we're very bullish on it. And we ultimately don't control that decision, anyway. But Aereo is something we're very excited about, and I think way too early to be thinking about at least monetizing our particular piece of it. I won't speak to Aereo's plans, generally. In terms of Tinder, I mean, Tinder is a great asset in the sweet spot of our business. So I think the likelihood of our sort of trying to monetize Tinder as a standalone asset, I think, is very low because it is -- I mean, it is a dating product. It is a great dating product that has sort of huge value creation in front of it, and we are in the dating space. So I think you hear about people monetizing it. Sure, you can get sort of low -- you can get investment and raise capital at sort of certain valuations. But in terms of owning a dating asset and capitalizing on it and both bringing it to fruition and realizing ultimate value on it, one way or the other, I think we feel really good about our ownership of it within Match. Not getting into the broader portfolio issues of IAC, I just think that Tinder is highly unlikely to be separated out from Match in the near future.
Jason S. Helfstein - Oppenheimer & Co. Inc., Research Division: So given kind of your enthusiasm for some of these emerging businesses, do you feel like it's too early to harvest the gains? How can you ultimately let investors participate in those businesses, including Match, without participating in the Search business? Is there a way to almost separate the value, think about attracting stock where people can separate their choice of investment in your company?
Grégory R. Blatt: Look, I understand the question and, obviously, again going back, we have done this multiple times over the last 8 years, so it's not an alien concept to us. And we look at a number of factors all the time about the makeup of our portfolio and the best ways to let shareholders realize the value in it. Obviously, we have assets that have different characteristics. And we think Search is a great business, we really do. It grew this year. It's going to grow next year, it's almost $400 million of EBITDA or whatever it is. But we recognize it's a different multiple business than Match and than Vimeo. We recognize that. That is, in some ways, the nature of a sort of multi-business business in this area. I think as Barry said before, as I've said, there has historically and probably will, again, come a time where that needs to be rationalized and everything else, but it's sort of one of those things where we don't lay out the criteria for doing it. It's altogether, and then at some point, something will burst free. But we can't really lay out the roadmap to that. So I think that's the answer. If you look at IAC and you look at the valuation, and a business like this is sum-of-the-parts company, and if you look at it, we feel really good about the value we have here. And to the extent, over time, you can't realize it was in the stock, historically, we've done something, but that's a timetable we can't lay out.
Operator: We'll take our next question from Eric Sheridan with UBS.
Eric James Sheridan - UBS Investment Bank, Research Division: Two questions. One, I might have missed this, but did you call out the amount of revenue that would have been in Local, that ended up in Search. Just so we got a better sense of the apples-to-apples year-on-year? And then second, when we think about the Search business long-term, I noticed you did do IAC mobile with Yahoo! Sort of longer-term, how do you think about what Google brings to the table on Search today versus partnering with someone else that might be less disruptive to the business sort quarter-to-quarter and year-to-year?
Grégory R. Blatt: Jeff, do you want to take the first one?
Jeffrey W. Kip: Yes. The first one, we said it would be about mid-teens million a quarter, CityGrid Media moving to Search. That's about what it was.
Grégory R. Blatt: In terms of the Google question, I understand why you sort of look at Google as being disruptive. Google is great. I mean, Google is the best sort of monetization engine out there. We understand that it leads to some volatility, but we've built a $400 million EBITDA business over the last few years relying on Google's monetization, which is the best out there. And they do what they do to protect their system. And we understand that there is volatility from time-to-time. And frankly, we were the beneficiaries of that for 8 to 10 quarters running. And over the last 4 quarters, we've -- some of the changes have been negative. And despite that, we have grown and we expect to continue to grow. And doing the thing with Yahoo! is a great thing for us to do. And, obviously, we like to have alternatives, and we like to have a variety of choices as we go forward. But Google has been a great partner, and our relationship with Google is great. And we don't think about it. We don't think about them as being disruptive. We think about them as being a good partner and, overall, one that's really helped us grow our business meaningfully over a long period of time. So, obviously, anything can happen in the future, but our relationship with them is great. And our contract lasts for a long time yet, and we feel really good about the overall situation.
Operator: [Operator Instructions] We'll go next to Brian Fitzgerald with Jefferies.
Timothy O'Shea - Jefferies LLC, Research Division: It's Tim O'Shea for Brian. Just wanted to drill down a little bit more on Google and given some of the CPC changes and the volatility you saw during the quarter. Just curious, what gives you the confidence you can grow from here going forward? And then just real quick on Newsweek. I know there was a gain recorded this quarter, but I believe that you were set to operate Newsweek for 60 days following the sale. Just let me know, are there any -- should we expect any go-forward impact to the financials here?
Jeffrey W. Kip: In terms of Newsweek, the gain we registered was a combination of purchase price and liabilities that we moved on. So we're done. It's off our balance sheet. One thing that happens is we're going to take an impact of deferred revenue that we are realizing against our P&L from subscriptions taken in before this going away. So there's a slight impact going forward, but we're going to have The Daily Beast on a go-forward basis next year.
Grégory R. Blatt: Yes, I think on the Google question and confidence we can grow, one answer is simply because this has happened before and we've grown. I mean, there's nothing fundamentally different or new about this CPC change than a bunch of others we've had. It was a little bigger. But, again, going back to my comments, we've seen 15% sort of swings in CPC quarter-to-quarter over 5x in the last few years, and every time, we have grown again. Despite the change that we've had, we're still -- CPCs are up 2x over what they were a couple of years ago. And since it bottomed in October when the thing rolled out, we've already started to grow again. I mean, it's sort of like we are -- one of our competitive advantages is we have a huge engineering team. We have a huge analytics team. Like you set the rules, and we're able to sort of reconfigure to play by them. And as this change took place and we've worked with Google to understand the nature of it, we've already started growing again. That's just the nature of what we do. This is a huge category, and we're still pretty small in it. And I know it's hard to look past the volatility, but the reality is that it's a great business and we're going to continue to grow it. There's a huge opportunity internationally. Domestically, there's still a lot of opportunity. We grew queries 30% year-over-year this quarter. So, of course, we're confident we can grow. The CPC whack is a whack. And, obviously, I wish you didn't have it, but then you grow from there. That's just the nature of this business. So that's not really the concern.
Jeffrey W. Kip: Just to give you a little additional sense. I mean, according to comScore, we have about 3.5% of domestic queries. Internationally, we only have 1.6%. So we have lower penetration internationally where you see the higher growth, and we think there's a lot of room to run there. But we also think that in terms of our Applications business, we have Applications on probably 4-ish percent of the desktops out there, which is a pretty low number. So we think there's ample opportunity to keep growing both businesses.
Operator: And there are no further questions left in the queue.
Grégory R. Blatt: Great. Thanks, everybody. Talk to you next quarter. Go Red Sox.
Operator: And, ladies and gentlemen, this does conclude today's conference. We appreciate your participation.